Operator: Good day and welcome to the Desktop Metal’s First Quarter 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Jay Gentzkow. Please go ahead.
Jay Gentzkow: Good morning and thank you for joining us as we discuss first quarter 2022 financial results for Desktop Metal. With me today are Ric Fulop, Founder and CEO and James Haley, CFO. Please note that our financial results press release and presentation slides referred to on this call are available under the Events & Presentations section of our Investor Relations website. This call is also being webcast live with a link at the same website. The webcast and accompanying slides will be available for replay for 12 months following this call. The content of today’s call is the property of Desktop Metal. It cannot be reproduced or transcribed without our prior consent. Before we begin, I’d like to refer you to our Safe Harbor disclaimer on Slide 2 of the presentation. Today’s call will include forward-looking statements. These forward-looking statements reflect Desktop Metal’s views and expectations only as of today, May 10, 2022 and actual results may vary materially based on a number of risks and uncertainties. For more information about the risks that may impact Desktop Metal’s business and financial results, please refer to the Risk Factors section of the Annual Report on Form 10-K in addition to the company’s other filings with the SEC. We assume no obligation to update the forward-looking statements. Additionally, during this presentation and the following Q&A session, we may refer to our results on a non-GAAP basis. Non-GAAP measures are intended to supplement but not substitute for performance measures calculated in accordance with GAAP. Our financial results release contains the financial and other quantitative information to be discussed today as well as a reconciliation of the GAAP to non-GAAP measures. With that, it’s my pleasure to turn the call over to Ric Fulop, Founder and CEO of Desktop Metal.
Ric Fulop: Thank you, Jay. Hi, everyone. We are very excited to host you for Desktop Metal’s first quarter 2022 financial results call. Today, I will start with highlights of our quarterly financials, review our few exciting developments in the business to start the year and spotlight some of the recent customer wins. I will then turn over the call to James to provide further color on the financial results of the quarter before closing with an update on our progress towards our key strategic priorities for 2022. We will then open the call for Q&A. I will begin on Slide 3 with a financial results summary. Overall, I am pleased with the first quarter’s performance as we experienced another quarter of exciting demand, resulting in top line growth. Consolidated revenue for the first quarter 2022 was $43.7 million, representing a strong year-over-year growth of 286%. This was driven by a combination of broad-based organic growth, including shipments of new products as well as contributions from acquisitions. We are really excited about the quality of the products portfolio that we put together and the opportunity to drive consistent long-term growth. Non-GAAP gross margins were 17.1% for the first quarter 2022 versus 5.5% in the first quarter of 2021. This is an increase of over 1,150 basis points year-over-year, while this extra percent decline from the fourth quarter of ‘21, Q1 is seasonally a lowest revenue contributing quarter for our business and so overhead absorption is the key factor pulling down our margin structure. As we continue to grow revenue throughout 2022, we expect a meaningful expansion in gross margins compared to this quarter and we anticipate a full year 2022 non-GAAP gross margin to expand versus 2021 and it will exceed 30%. It’s been a strong start to the year and demand remains robust across all our full portfolio of AM technologies and solutions. Therefore, we are reaffirming 2022 revenue expectations of approximately $260 million, representing 131% growth over 2021. We are also reaffirming adjusted EBITDA expectations of approximately negative $90 million while maintaining our commitment to exit the calendar year 2023 breakeven on an adjusted EBITDA basis. I’d like to take a moment to reflect on the significant progress we have made since going public and where we are today. Over the past 18 months, our team has worked diligently to develop and bring to market a range of AM 2.0 metal platforms, which includes our flagship production system, P-50. Added to that, we utilized our strong balance sheet to acquire a wide breadth of capabilities and technologies that greatly broaden our AM 2.0 portfolio and now provide us with a sustainable technology depreciation across a range of applications. As a result of this purposeful strategic efforts, we believe we have built the undisputed leading portfolio of pure-play AM 2.0 solutions. Today, we have 20 market leading print platforms with a focus on high volume production of end-use parts. Our platform support a compelling portfolio of diverse materials, including metals, polymers, composites, sands, woods and elastomers, amongst many others. These materials we have added help us address a growing array of end-use applications and have increased our prices in key verticals adopting additive, such as dental, healthcare, foundries, and automotive to name a few. As we look at Desktop Metal’s roadmap over the next few years, we have established a foundation on top of which we can continue to rapidly scale as we are currently demonstrating. Importantly, we are also now well diversified and able to capitalize on growth drivers across many industries accelerating the adoption of additive manufacturing. This has durability to our trajectory and will enable us to grow across industry cycles with better predictability and position. We are starting to see our vision come together to be the dominant player in AM for mass production as we progress towards our goal to capture a double-digit share of the over $100 billion additive manufacturing market by the end of the decade. Moving down to a few business highlights, I am very proud of what the team accomplished to kickoff 2022. We made solid progress in our production system platform as we continue to grow our installed base of customers leveraging our patent pending single pass jetting technology. This differentiated technology sets us apart in the industry in terms of speed and part costs and the customer response has been fantastic. In the first quarter, we commenced shipments with production system P-50, with our partners, Stanley Black & Decker and we can now report that we have Production System P-1 hardware installed in China as the step towards our goal of establishing and developing hyperscale applications. We also have made excellent progress expanding our digital casting business, including the launch of our all new S-Max Flex. Flex is a one of a kind digital casting printer, which for the first time makes it affordable for any foundry to get into digital casting. The initial response in order book for this solution has been extremely encouraging. I will provide more color on the opportunity here in the following slides. Finally, the launch for our Einstein series of printers under Desktop Health is going extremely well and we are expanding production capacity to support demand. These are high performance systems designed for precision dental and healthcare applications. And the differentiated features in the Einstein series in our leading portfolio of Class 2 FDA cleared dental materials are driving increased demand in the market. We are very happy with how this is shaping up with terrific potential for growth in the balance of 2022. Turning to Slide 4, one of the biggest opportunities in front of us is the extraordinary benefits of additive manufacturing and what it brings to the supply chain. These benefits have long been associated with additive manufacturing and have now become more top of mind than ever as a result of COVID and their resulting disruptions across the global supply chain and logistic networks. Our supply chain challenges cannot be solved through rapid prototyping. You need high volume 3D printing capabilities in order to effectively and sustainably provide alternatives to conventional manufacturing. Desktop Metal is a pure-play on supply chain disruption. Our unique mass production capabilities unlock the ability to drive flexibility in global supply chains in a cost effective way, including decentralized borderless production, on-demand inventory resiliency, onshoring and localized production, and the ability to reduce dependencies on third-party suppliers. We have seen a number of recent customer wins here, where supply chain challenges are driving demand and purchase decisions. We have customers ranging from major manufacturers of electrical parts looking to print those components in the U.S. Companies experiencing significant business disruption in overseas foundries where we are helping those manufacturers restore production of those parts to the U.S. through digital casting. And as President Biden indicated last Friday as part of his new AM Forward initiative, U.S. based 3D printing enables cost effective production in our country. Our agro business has seen a significant uptick in orders for the 3D printed hydraulic components as well as customers looking for alternatives to their current supplier network due to challenges and delays. And finally, our Desktop Labs platform is expanding its capacity as many U.S. dental practices are looking to improve turnaround times and reduce cost amid disruptions to their traditional model of working with international parts suppliers, which are now facing steep supply chains and logistic network issues. In each case and around the world, our AM 2.0 solutions are enabling companies to sidestep supply chain issues, improve environmental footprint of their products and offer a path through flexible volume production through additive manufacturing. Even the Department of Defense recently awarded as a major award through their Defense Logistics Agency to address these issues. On the following slide, I’d like to briefly highlight one of our new print platforms offered under our ExOne brand. The S-Max Flex is a scalable large format binder jetting system for 3D printed sand malls and cores. The S-Max Flex democratizes access of digital casting to foundries around the world, bringing them numerous benefits of AM 2.0. Foundries can use digital casting solutions to quickly cast complex metal designs for markets such as aerospace, automotive, energy, among others. This innovative system is a result of integration efforts from our ExOne acquisition like last year. The S-Max Flex combines ExOne’s market leading sand printing expertise in process and materials, with Desktop Metal’s single pass jetting technology in an affordable architecture to deliver value to foundries that have long-awaited an S-Max Pro, but found the premium price out of reach. This new solution leverages industrial robotics to bring a new level of affordability, reliability and productivity to large format binder jetting, offering a larger and more scalable build volume with improved tolerances and higher speeds. It’s rare that you go from a product launch and customers are signing contracts for equipment on the spot. We have a growing order book for the S-Max Flex since it’s the Xtreme 8K and we are also expanding production of this new product to meet demand. I wouldn’t be surprised if the Flex becomes the world’s bestselling digital casting printer by the year end. We are extremely excited about the opportunity for this class of system. With this new level of affordability this technology is applicable to over 40,000 foundries globally turning it into another growth driver for the company. Turning to Slide 6, we had a fantastic quarter of customer adoption across our brands, adding lots of new accounts as well as expanding within our existing customer base. We continue to see progress with marquee customers, an example of which are displayed on the left side of the slide, including Rolls Royce, Microsoft, Schlumberger, and Collins Aerospace. On the right side, I want to highlight one of the customers a really outstanding SME company called PrinterPrezz. They have been using our shop system as well as other products like our P-1s or e-tech printers to combine benefits of metal 3D printing with their proprietary nanotechnology coatings to address the needs of medical device market, including spinal and orthopedic medical devices. The Shop Systems’ binder jetting technology enables PrinterPrezz to meet their customer demands for high volume of printed instruments, while maintaining superior part quality and surface finish required for medical parts. Customer demand was spectacular to start the year and we remain confident in our ability to expand our market share across the board as we see companies of all sizes in many different end markets, embracing the benefits of Additive Manufacturing 2.0. I will now turn the call over to James, our CFO to cover some financial highlights. James?
James Haley: Thanks, Ric. Beginning on Slide 8, you will see highlights of our financial performance for the first quarter of 2022. Please note we will be referring to several financial metrics on a non-GAAP basis. Reconciliation to GAAP data is included in the filed appendix. Consolidated revenue for the quarter was $43.7 million, up 286% year-over-year from $11.3 million in the first quarter of 2021. In addition to contributions from acquisitions, we saw modest growth across our portfolio of AM technologies and particularly in our metal and dental offerings. This was offset by slightly weaker than anticipated performance from photopolymer solutions as we revamped our portfolio in Q1 with the launch of the Einstein series and began commercial shipments. But the broad demand we are seeing across the portfolio, and in particular, recently launched products, we are ramping this year, such as the Einstein series S-Max Flex and Xtreme 8K. We are confident at the growth potential of the business across the balance of 2022. Non-GAAP gross margin increased over 1,150 basis points year-over-year to 17.1% from 5.5% in the first quarter of 2021. While we expected the gross margin to come down sequentially as a result of seasonally lower Q1 revenues and additional overhead from acquisitions, we did underperform relative to our internal forecast due to several factors, including a lower margin mix increased one-time costs related to product launches for the production system, P-50 and Einstein series and impacts from continued global supply chain and logistics disruptions, most notably higher than anticipated trade expenses. Looking ahead to the balance of 2022 there are a number of factors that give us confidence on our expectation of meaningful gross margin expansion for the year, including higher expected sales volumes resulting in improved overhead absorption, a more favorable product mix and recent product launches scaling into more mature margin profiles. In addition, we expect pricing updates on certain products made towards the end of Q1 we will have more of an effect as we progress into Q2 in the back half of the year. As a result, we anticipate continued gross margin expansion in 2022 on an annual basis versus 2021, with non-GAAP gross margins exceeding 30% for the full year of 2022. On the next slide, non-GAAP operating expenses were $52.1 million for the first quarter of 2022, representing 119% as a percentage of revenue versus 193% in the first quarter of 2021. In the quarter, operating expenses were higher than planned due to one-time professional fees and cost associated with Q1 product launches of the production system P-50 and Einstein series. Overall, we continue to see operating expenses moderate with ongoing efforts to optimize our expense structure across the company. We are also executing our previously discussed initiatives to reduce expenses, including rationalizing the product portfolio, driving efficiencies in manufacturing, supply chain and logistics and consolidating our global facilities footprint. And we are focused on driving cost synergies across the portfolio of companies we have acquired through the balance of the year. We are in the early stages of these initiatives and expect continued focus and execution to have a durable impact on our expense structure. In combination with continued revenue growth, this plan we will drive operating leverage and improve margins throughout the balance of 2022 and beyond. Adjusted EBITDA for the first quarter of 2022 was negative $41.6 million. Adjusted EBITDA did under-perform relative to our internal forecast driven primarily by the factors that impacted gross margins, including seasonally lower Q1 sales volumes, product mix and one-time product launch expenses as well as higher than expected operating expenses. We remain focused on the previously detailed strategic initiatives to optimize operating expenses in order to meet our commitment on adjusted EBITDA and achieve our path to profitability. As we make progress on these initiatives as well as continuing revenue growth through the balance of 2022, we expect to realize improved absorption and operating leverage, which will lead to significant improvement in adjusted EBITDA through the end of the year. We ended the quarter with $206.5 million in cash, cash equivalents and short-term investments as of March 31, 2022. We also made fiscal efforts to raise our inventory balance in the first quarter of 2022, which came in at $81.9 million, up from $65.4 million in the fourth quarter of 2021. We were proactive in managing inventory levels to mitigate potential ongoing supply chain risk and in short, we have enough products to meet our quarterly targets. And finally, moving to guidance as Ric detailed with strong first quarter revenue contributions and robust demand across our portfolio, we are reaffirming our revenue expectations of approximately $260 million for the full year 2022, which represents 131% year-over-year growth. We also continue to expect adjusted EBITDA of approximately negative $90 million as we anticipate a combination of increased revenue, improved gross margins, operating expense moderation, and operating leverage to drive significant improvements in adjusted EBITDA throughout the balance of 2022. With that, I will turn the call back over to Ric.
Ric Fulop: Thank you, James. I will wrap up on Slide 11. We remain focused on our strategic priorities for 2022 and driving the business to meet this commitment. Revenue was strong in the first quarter as we continue to grow the business at scale. We gained continuous market penetration in key verticals with outsized turbo growth opportunities, specifically automotive, consumer electronics, dental and healthcare. With respect to hyperscale accounts, we are engaged with several key players that we believe represent the large opportunity for our business and can deliver significant growth. And we made important technical and commercial strides with those accounts in the first quarter. The one area where we fell short is expense spend in the quarter. We are making an effort between now and the end of the year to contain cost and gain cost synergies from the acquisitions we made last year. It’s very important for us to make progress in our path to profitability as you saw in the previous slide from James. As a percentage of revenue, expenses are decreasing demonstrating the operating leverage in the business and you will continue to see that through the rest of the year as growing revenues are paired with several proactive efforts to reduce expenses and the improvement to our gross margins take effect. We remain committed to reaching adjusted EBITDA breakeven by the end of 2023 and are confident in our path to get there. Managing our cash flow and working capital remains an important focus and we expect to demonstrate progress throughout this year on specific initiatives of disciplined capital allocation, inventory management and supply chain synergies. Overall, it was a great start to 2022. Revenue growth was at the top of our market and we are confident with the demand we are seeing across the broad product portfolio to deliver top line growth and margin expansion throughout the balance of 2022. With that, let’s open it up for questions. Operator?
Operator: Thank you. [Operator Instructions] The first question comes from Josh Sullivan with The Benchmark Company. Please go ahead.
Josh Sullivan: Good morning.
Ric Fulop: Hi, Josh.
Josh Sullivan: As far as the guidance for ‘22 just given the Q1 results, can you just help us with the revenue cadence through the rest of the year, just how should we think about the various product launches driving quarter-to-quarter growth?
James Haley: I think it’s going to be similar to what we described in the previous quarter and it’s ramping up that way. We have, you launch a product and then you start to scale capacity after that. We had launch of Einstein in Q1 and now in Q2 we are making much more of that product as we as we go through our ramp, but we feel very good about the – I don’t know if this answers your question but…
Ric Fulop: So, I think the other part Josh, that we have talked about, typically we see about 15% of the – 15% percentage of the revenues in Q1, Q2 and Q3 tends to be in the low 20s. Q3 tends to be down given the European shutdown, if you will, slightly sequentially and then the balance of the revenue will be in Q4, so similar pattern to what we saw last year as well.
Josh Sullivan: And then just as we think of the overhead absorption factor, where are you going to have a finer edge on expenses? Do you feel you have the sales force and channels in place you want for the long-term just where does that discipline going to M&A from?
James Haley: Certainly, as it relates to Q1 quite a few factors working against us the seasonality of it all. But also to your point on the mix though, both in terms of products and direct indirect sales channels, with weather at lower margins. So, we do see that balancing out over the course of the year. And margin will be improving dramatically as revenue scale. We did also have a number of one-time items as we are launching products, and again, sort of the global supply chain issues in the logistics expenses as we are trying to launch those products.
Josh Sullivan: Thank you for the time.
Ric Fulop: Yes.
Operator: Your next question comes from Greg Palm with Craig-Hallum Capital Group. Please go ahead.
Greg Palm: Yes, good morning, everyone. Thanks for taking the questions here. So you mentioned the uptick in demand to support these onshore wind projects. I thought that was an interesting comment. Can you talk about maybe certain end markets or geographies that you are most excited about and what’s your product lines do you think are best suited to capitalize on this call it growing need?
Ric Fulop: It’s pretty broad-based both in polymer and metal. We have got anywhere in the healthcare side on the dental side, everything from people having difficulty sourcing components that are polymer down to folks that produce high volume parts in different metal materials that basically would like to have more control over the supply chain and input costs. And I think that’s shaping up quite well. A lot of stuff in automotive and consumer electronics and it’s across the board on – it’s, I would say one area where we are benefiting. We are definitely imposed on what President Biden announced last week and we think there is going to be significant benefit to our industry specifically to companies focused on mass production, the additive which is really a core business where we are the leader and versus product tapping or tooling which was sort of what people used to do with additive before. So there is a significant tailwind that we didn’t have a year ago in this area. And I think it’s once you move supply chain from one place to another, I think that becomes a durable thing. So, I think our sales folks are busy supporting those customers.
Greg Palm: Yes. Makes sense. And then I guess, just looking back on ExOne, it’s been I don’t know six months since the close. Can you talk a little bit more about the development of the S-Max Flex. And just kind of thinking more broadly, in terms of synergies, what else you are sort of most excited about in terms of the kind of co-development of new projects, etcetera?
Ric Fulop: I mean we are really excited about the fact that we are on ExOne, and it’s a fantastic company. I think we have got combined some really good things in development. First, one of which is S-Max Flex, which makes it affordable for the first time for any foundry to be able to use this class of product, which before used to be quite expensive. There was over 40,000 foundries globally that can benefit from this. So, it’s definitely a very nice product. We have got great demand, and people have been buying them on the spot since we announced it. So, we are really excited and happy about that product. I would say that we plan to over time continually make our products more integrated and continue to – we have taken the revenue synergies for a lot of these transactions that we have done. And I think over time, we will, especially in the second half of the year, we will take the cost synergies, benefits of really becoming a more efficient organization as a whole. But I am very happy with the transactions so far. ExOne benefits significantly from some of the software capabilities that DM has, which makes these products on the metal side more turnkey and easier to install. And we will continue to make our products best-in-class. We are the market share leader, by any way that you slice the data on the binder jet market, and we plan to continue to grow our position in the market.
Greg Palm: Alright. Appreciate the color. Best of luck going forward.
Ric Fulop: Thank you.
Operator: The next question comes from Martin Yang with Oppenheimer & Company. Please go ahead.
Ric Fulop: Hey, Martin.
Martin Yang: Good morning. Thank you for taking my question, Ric. So, first question is around P-50. Can you maybe give us an update on customer engagement activities and the pipeline? And if there is any early customer feedback, if you are comfortable please share with us?
Ric Fulop: Yes. I think we are very happy with that program and continue to see significant demand. And we are going to be making announcements in the future as the year progresses, and we make – get more instances. I don’t know if every customer will let us talk about a program the way that Stanley has, because usually this goes to very large companies. Large companies tend to keep their plans confidential, but we will definitely have systems in the field that we will be able to reference and I think we are. As you know, P-50 is the game changing product with incredible economics and allows you to really disrupt the market. But we are going to have a judicious rollout as it’s a pretty large platform and scale it appropriately.
Martin Yang: Got it. My follow-up question is regarding your inventory. Is there any certain products that you want to highlight that contributed to that increase in inventory?
Ric Fulop: Well, I think that our strategy on inventory has been that, that we don’t want to have a situation like we had in Q3 last year where we were trying to balance things and ended up a short of parts to be able to ship products before the end of the quarter. And so we have been trying to run our supply chain and our operations in a way that we are able to have the capacity to support the next quarter and ship the products that needs to be shipped. So, I would say that it’s, you could have adjusting time inventory or you can have adjusting case inventory. And we are leaning more towards adjusting case inventories to make sure that we can meet our revenue targets and market share targets. And then, its first select products, so we are being judicious as we are executing it. But I think that it’s the more prudent way to run a company in a very complex environment like today, with lockdowns in China and inability for people to get parts. We are fortunate that we don’t have a significant manufacturing exposure to China. We have our production – all our machines are made outside of China. However, we may have suppliers that have components that are made there. So, we have been really strategic about how we do our sourcing, having gotten bitten last year three, so that we can make our revenue targets. And so, it is we call that out because it is a proactive move on our part to be able to continue to make our numbers for the balance of the year.
James Haley: Martin, I would add to that roughly two-thirds of the increase in inventories in finished goods as well. So, again, to Ric’s point about being able to satisfy the demand of an exporter too is key for us.
Martin Yang: Got it. Thank you.
Operator: [Operator Instructions] The next question comes from Troy Jensen with Lake Street Capital. Please go ahead.
Troy Jensen: And congrats on the nice revenue results here.
Ric Fulop: Thank you, Troy.
Troy Jensen: Hi, guys. So, I guess I would like to talk a little bit about backlog entering Q2, kind of a multi-part question here. I am assuming there is a lot of businesses you couldn’t ship, right, just because of supply chain constraints. But then also Shapeways had a statement in their 10-K that they placed like a $10 million order with you guys in Q1, and a $5 million order with you in Q2. So, curious whether 10% customer in the quarter and what does kind of backlog looks like entering Q2?
James Haley: Sure. So, just for clarity, first off, Shapeways is a key customer of ours. We have a great relationship. We generally don’t like to talk about any one individual customer. But I think the disclosure what you are referring to Troy is that actually cash paid per Shapeways filings. In terms of Q1 revenue from Shapeways it was normal. It was $100 million. So, when you aren’t reading there, their flick balance as you look at language closely, I think they have noticed about what was actually paid. So, oftentimes when you are paying for shipments that are in arrears. But again, the relationship is great. We continue to have a lot of exciting business.
Ric Fulop: I would say building on what James just said on backlog. I think since Q3 last year, we have been in a situation where you are pushing your sales force to hit numbers larger than your targets. And usually supply chain related that hold you from getting another $5 million to $10 million that quarter. So, I think that the benefit of that is that you end up going to the next quarter with some level of momentum, that as you are building those components and finishing those products, you then end up catching up and then that rolls on to the next product. We have got definitely very significant backlog on ExOne, that’s just how they run their business versus a forecast driven business. And part of what we are trying to do over time is going to be to turn that into a total forecast business. Also on – we continue to have backlog on to the Einstein products, which we are selling extremely well better than we expected. And we are increasing capacity to support that demand. And then we also continue to have backlog on Xtreme 8K. But we are trying to close those gaps. And it just happens to be that those products are selling quite well.
Troy Jensen: Okay. And then my follow-up, if we go back 6 years, 7 years ago, the Obama administration had initiatives for additives. And I think even 3D printing was part of his [indiscernible] one here, I don’t know if we saw much great benefit from that. So, what’s the Biden administration doing differently here with their initiatives and other incentives are? And how can we kind of monitor that this is having an effect?
Ric Fulop: Yes. I think that those are great questions. I think that I mean though I don’t want to speak for the administration. But I think as you know, there is a significant supply chain context that’s very different today than it used to be. And I think they are looking at this as a solution to address some of the re-shoring that needs to happen has to come back from China. If you look at the Bipartisan Innovation bill, there are significant line items dedicated to helping the industry to do this and different types of financing and other things are going to help us and ease. And there is commitments from defense contractors to adopt a greater percentage of goods made through molds of additive that are designed for production. Like you know tradition tend to be metal or more recently some advanced polymer components. But it is, as you know, it has been happening in aerospace and in the actual space industry for some time. And now it’s permeating to a broader section of the economy. We as a leader in what we call AM 2.0, which is ability to mass produce with additive cost effectively versus commercial manufacturing thing will be a disproportionate beneficiary of some of these efforts. And actually, at RAPID, we are going to be showcasing over 300 production parts, as examples of things that you can do with additive. So, this is very much not prototyping, which is what we are doing back in the Obama days or tooling. This is really mass production of parts with additive, and really in new applications. So, I think I am really excited to see what they do. I mean I think the government is somebody that can help. It’s not the end of be a solution for all our problems. But definitely, I think they are trying to do something here with good intentions to help the country. And we will see if there is Bipartisan Innovation bill passes, which I think is going to help us solve not just additive issues, but also issues with semiconductor industry, resiliency, and other segments that I think are critical to national security and competitiveness of our economy. So, we will see.
Troy Jensen: Okay. If I can sneak one more in Ric, just curious on the convertible announcement, just on the convertible, you guys announced today, why now, I guess would be my question. It seems like if you guys do $260 million in revenue and have this massive ramp at the end of the year, and this hopefully sentiment would be better than two, why now, I guess is the question.
James Haley: So, Troy, unfortunately, because of securities law restrictions, we cannot comment on the offering.
Troy Jensen: Okay. Alright. Understood, guys. Congrats and good luck.
Ric Fulop: Thank you.
Operator: The next question comes from Noelle Dilts with Stifel. Please go ahead.
Noelle Dilts: Hi, guys, good morning, just on the hyperscale customer in China, I was hoping you could kind of expand on, what the – basically what the pipeline looks like in terms of adding additional hyperscale customers, how you think you may be able to scale with the customer, where you have the one machine installed? If you could just expand on how you are thinking about that piece? That would be great. Thank you.
Ric Fulop: Absolutely, no. We are actually working with all of them. So, you will see our stuff in lots of products. And I think it’s progressing at a pretty good cliff, considering the pace at which some of these things need to move with this class of companies. And I think you are going to see additive in lots of auto and consumer electronic products in the future. But they are super confidential. These companies don’t want to do this that we are probably at the most that we can say right now with the disclosures.
Noelle Dilts: Okay. Got it. And then same I guess, could you just expand a little bit on dental sort of what you are seeing on the lab side of things. How you are thinking about just kind of the how to think about growth and opportunities this year and if they might accelerate into 2023…?
Ric Fulop: Yes. I mean I could have been more excited about a market than what’s happening in dental because if you know, the additive was already adopted in orthodontics for tooling for aligners and other products. But what we are talking about here is very different. It’s really the restorative parts, which is a $30 billion segment. And these are parts that are permanently in your mouth, once you – after you go to the dentist. So, it’s a new area of dental for printing. It’s putting something that stays there for a very long time. And these are FDA class two products, which are more regulatory barriers and higher – are much more sophisticated from a chemistry and technology point of view and the throughput required to make the numbers work. And so, we are super, super excited about that segment. Our view is that all $30 billion in that segment are going to turn this decade and by the end of the decade will be fully made with additive. We have got an incredible platform with best-in-class products in it. Demand is growing faster and we can make the products and we are developing lots of new applications. In that space, we have several materials launches over the next year. Our product Flexcera is doing extremely well and has best-in-class properties, three times the fracture resistance of previous generation products. It has got half the moisture resistance. It has got dramatically better abrasion resistance and the customers love it. So, it looks – the products look very, very good in your mouth. So, it’s a segment that we are excited to be part of and continue to see significant growth for the foreseeable future. And we are excited to have our 1,000 plus labs that use our technology and 1,000s of dental practices that we sell parts or components to try to partner with them to move the industry forward.
Noelle Dilts: Great, thank you.
Operator: The next question comes from Josh Sullivan with The Benchmark Company. Please go ahead.
Josh Sullivan: Yes. Just on the defense logistics award, can you provide any specifics there of size, duration were potentially could go long-term?
Ric Fulop: Not yet, but we will provide it in the future. We are excited. This is going to enable our government to do – to have more flexibility by having printing in primarily metal components.
Josh Sullivan: Okay. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ric Fulop for any closing remarks.
Ric Fulop: Wonderful. I really would like to thank everybody for joining this call this morning and everyone at Desktop Metal as well for your interest in the company. And really, again, I want to thank all team DM across the world that is helping us build this great company on tremendous work through the start of the year. We are looking forward to speaking to all of you again in the second quarter call. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.